Operator: Good morning and welcome to the GeoPark Limited Conference Call following the results announcement for the First Quarter ended March 31, 2017. [Operator Instructions]. If you do not have a copy of the press release please call [indiscernible] in New York at +1-212-687-8080 and we will have one sent to you. Alternatively you may obtain a copy of the release at the investor support section on the company's corporate website at www,geo-park.com. A replay of today's call may be accessed through this webcast in the investor support section of the GeoPark corporate website. Before we continue please note that certain statements contained in the results press release and on this conference call are forward-looking statements rather than historical facts and are subject to risks and uncertainties that could cause actual results to differ materially from those described. With respect to such forward-looking statements the company seeks protection afforded by the Private Security Litigation Reform Act of 1995. These risks include a variety of factors including competitive development and risk factors listed from time to time and the company's SEC report and public releases. Those lists are intended to identify certain principal factors that could cause actual results to differ materially from those described and the forward looking statements but are not intended to represent a complete list of the company's business. All financial figures include it here were prepared in accordance with IFRS and are stated in US dollars unless otherwise noted. Reserve figures correspond to PRMS standard. On the call today from GeoPark is James F. Park, Chief Executive Officer, Augusto Zubillaga, Chief Operating Officer, Andrés Ocampo, Chief Financial Officer, Stacy Steimel, Shareholder Value Director and Dolores Santamarina, Investor Manager. And now I will turn the call over to Mr. James Park. Mr. Park you may begin.
James Park: Thank you and welcome everyone. We're joining you this morning with our executive team in Buenos Aires, Argentina to report on our first quarter 2017 results. Our success with the drill bet [ph] continues at strong pace and the key to this quarter is the impact our consistent operational success is having on our financial performance which produced a tripling of EBITDA and positive earnings. These strong numbers are coming after completing just a quarter of our 2017 work program and already putting us on the road to exit the year over 30,000 per day as well as the leveraging our balance sheet. We are entering the second quarter now with four rigs drilling for oil and gas. Our first priority is continuing to expand, build and develop our bedrock Llanos 34 B asset in Colombia accompanied by some exciting new exploration drilling in Argentina and Chile. Zubi?
Augusto Zubillaga: Okay. Thank you, James. We have another quarter of record production which increased by 12% to over 25,000 barrels of oil per day and its currently over 26,500 barrels of oil per day. During the first quarter we have concentrated most of our operations in Llanos 34 in Colombia which included, on the exploration side [indiscernible] in Chiricoca 1 that discovered a new oil field and is currently on production and drilling [indiscernible] which was dry and was flat and abandoned. Jacamar 1 where it is currently drilling and will be followed by [indiscernible]. We also had two appraisal wells to further push out the limit of Tigana and Jacana fields. Jacana 11 that is producing 3200 barrel oil per day and Jacana 2 which will be tested in the next few weeks. On the development side we drilled four wells, Tigana 6, Tigana 1, Jacana 7 and Jacana 8. The first three on production at a combined rate of 3700 barrels oil per day and the ford well to be tested in the next few days. In the second quarter we had two rigs drilling in Colombia, one rig in Argentina, and one rig in Chile. We expect to drill a total of 8 to 10 wells this quarter including four exploration wells and we continue on track to grow our average production by 20% to 25% this year. So now over to Andrés.
Andrés Ocampo: Thank you, Zubi. During the first quarter this year following increased production oil prices and continued significant cost reductions we more than tripled our adjusted EBITDA to almost $39 million which also represents a 44% increase compared with the fourth quarter last year, resulted in a bottom-line net profit of almost $6 million. Our $45 million of cash flow from operations represented twice our capital spending for the quarter and funded $11 million of financial debt repayment. The combination of our EBITDA growth and debt reduction allowed us to continue quickly deleveraging which has been one of our main areas of focus in 2016 and 2017. Our gross debt to EBITDA ratio was reduced down from 5.3 times to 3.2 times and down to 2.6 times on a net debt basis. Currently GeoPark has over $180 million in cash and available credit facilities of which approximately $70 million is cash. So we continue on track to deliver results on our aided $90 million work program which includes drilling 30 to 35 gross wells, fully funded with our own cash generation which supported by our hedges [ph] in place that is $50 to $54 per barrel floor on the oil price for 12,000 barrels a day will allow us to continue deleveraging and strengthening our balance sheet as we exit 2017 above 30,000 barrels per day. So thank you and now we invite any questions for our team and some additional insights.
Operator: [Operator Instructions]. Your first question comes from the line of [indiscernible] of Canaccord.
Unidentified Analyst: I have a couple of questions. First of all could you please confirm for me that your guidance for the year the [indiscernible] specifically of 30,000 boe a day that that does not include any explorations success?
James Park: Yes, that is correct 30,000 barrels a day is not including any really production from exploration.
Unidentified Analyst: Okay. So that's all development and appraisal?
James Park: Correct.
Unidentified Analyst: And then could you give us a further breakdown of these 8 to 10 wells that you're planning to drill in Q2, you mentioned [indiscernible] exploration wells and two appraisal wells the Llanos 34, where are the rest of these wells?
Augusto Zubillaga: Okay. So I'm looking at this right now. So exploration well is basically in [indiscernible] in Llanos 34 and then we have Walken [ph] in Chile and Rio Grande Oeste in Argentina, those two are drilling right now, we're just spotting this week.
Unidentified Analyst: Okay. What happened to the exploration well that used to be kind of in the Q1 plans in Brazil?
Augusto Zubillaga: That was drilled, that was announced in the operational update a few weeks ago, that was [indiscernible] and it as dry well for a total cost of $2 million.
Unidentified Analyst: Okay. And then the rest are appraisal and development wells?
Augusto Zubillaga: Yes, mostly development wells in Llanos 34 — sorry, appraisal and development wells in Llanos 34 so those are Jacana 9, in the second quarter we have Jacana 9, Jacana 10, Tigana Sur 5 what else, Jacana 12 and 13, whole bunch of wells. So it's tough to give you the exact names so let's say the work in the second quarter is largely focused on continuing developing and appraising the Tigana Jacana oil play with the addition of the two exploration wells in the Eastern fall trend which are [indiscernible] which follows after that and is also an exploration well.
Unidentified Analyst: And finally what are you seeing in terms of cost pressures in Colombia?
Andrés Ocampo: So in the first quarter we had a little on a cost per barrel basis were down again this quarter as we have been for the last quarters. There's been some pressure let's say small pressure on the FX or the FX appreciated slightly in the first quarter in Colombia. So compared to the same quarter previous year the appreciation was around 10% but following almost more than 50% increase in oil prices. So we see currencies strengthening much less than oil prices. But in any case on the actual total cost side we are continuing to keep our costs down, we're signing long term contracts with our service providers to try to keep and secure these rates for a longer period of time. So we can actually avoid any further or any future incremental cost pressures.
Unidentified Analyst: So you're seeing operating and drilling costs kind of being stable to slightly lower?
Andrés Ocampo: Yes correct.
Operator: [Operator Instructions]. Your next question comes from the line of [indiscernible].
Unidentified Analyst: Question on realized prices. I see this quarter its about $25 discount Brent. How would you think of that going forward in terms of the production mix as envisioned in the development plan and how could that change you know -- what are the variables where it could change?
James Park: On a consolidated basis we have, our production mix is mostly oil but we have some gas into our production mix and so that’s why that may affect the numbers a little bit. In Colombia our realized price is around $34 per barrel, Colombia is a 100% oil, the first quarter was around $34 per barrel roughly $20 Brent and the two items that impact these are one is the Colombian crude that is called the [indiscernible] or the Colombian differential. For the first quarter was around $5 per barrel, $5.3 approximately per barrel that’s coming down from $6 per barrel on the fourth quarter last year and the rest is a $15 transportation cost that we have to pay to bring the oil from the field to the market. That is accounted as discount to the price because we sell 100% of our oil in Colombia at the well head so our take phase for the transportation and then discounts that amount from the price. So the realized price in Colombia was $20 Brent, in Chile this quarter we didn’t sell oil but the discount going to be $7.6 per barrel, I think we already sold that oil this week. And then Brazil is a 100% gas so there is no discounted Brent, the price there is fixed by contract.
Unidentified Analyst: And in terms of the production mix going forward is it shifting more towards oil, you know depending on the development plans that you're having in play, how does that product mix change?
James Park: So we're focusing largely our CapEx in Colombia which is a 100% oil so we see longer term, we see the oil gaining bigger portion in our production mix. We're drilling two gas wells in Chile this year so that would probably hopefully increase some gas production but it is not going to offset the oil production growth from Colombia so we see largely balancing or gaining more weight oil and Colombia in our production mix.
Unidentified Analyst: In terms of Jacana, the connecting the [Technical Difficulty] what signs would you need to see or would the engineers need to see here to kind of make the resource poor a lot larger than it is identified now?
James Park: So again we're largely focusing our program this year in doing an appraisal and development of the whole Tigana Jacana oil play. We experienced very significant reserves growth in 2016 and also in 2015 by following a program like this. So last year we increased our reserves by 50% after we invested nearly $30 million in this flow -- represented over $350 million of MPV increasing Llanos 34. So this year we're targeting most of our drilling, most of our CapEx into continuing fully operating this place. So we expect to have a new reserve certification by the end of the year. We will probably within this year, early next year, and we expect by then to have much better information and understanding on how big this whole play is. So we're again we're drilling in Llanos 34 around 20 to 25 wells this year. We're reprocessing seismic, reinterpreting seismic, also with a new wells and new information that we're getting. We're getting pressure information from the reservoir, so with all that we will have a new certification by the end of the year and that’s when we expect to have much more information and hopefully much more conclusive information on the size of this play.
Operator: Your next question comes from the line of Miguel Ospina of Compass Group.
Miguel Ospina: I've one question in terms of royalties, are you still close to reaching the 5 million barrels in any of the fields either Jacana or Tigana at Llanos 34?
James Park: Yes Tigana has already crossed that threshold, it is already paying the high royalties and Jacana is about to cross it within the next few months, days actually not even months. It's going to be before the end of the month.
Operator: You now have a question from [indiscernible].
Unidentified Analyst: Just a question guys on the potential for a pipeline connection into Block 34, it's something that’s been discussed I just wondered if you could give us an update on that.
James Park: Yes, that is one of the ideas that we're working on this year. Right now we're trying to line-up all the environmental permits or environmental and legal permits to be able to build it and if that is the case we will make a decision and once we make the decision we will announce it to the market but it is something that we're working on right now and getting all the approvals to have it in place.
Operator: Thank you. I will now return the call to Mr. Park for any additional or closing remarks.
James Park: Well thank you to everyone for your interest in GeoPark and your continued support of our company. We encourage you to please visit us at our operations and invite you to please call us any time for any information. Thank you and good day.
Operator: Thank you. That does conclude the GeoPark Limited conference call. We thank you for your participation and ask that you please disconnect your lines.